Operator: Good day, and thank you for standing by. Welcome to the Kyndryl Fiscal First Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Lori Chaitman. Please go ahead.
Lori Chaitman: Good morning, everyone, and welcome to Kyndryl's earnings call for the first fiscal quarter ended June 30, 2024. Before we begin, I'd like to remind you that our remarks today will include forward-looking statements. These statements are subject to risk factors that may cause our actual results to differ materially from those expressed or implied. These forward-looking statements speak only to our expectations as of today. For more details on some of these risks, please see the Risk Factors section of our annual report on Form 10-K and for the year ended March 31, 2024. In today's remarks, we'll also refer to certain non-GAAP financial metrics. Corresponding GAAP metrics and a reconciliation of non-GAAP metrics to GAAP metrics for historical periods are provided in the presentation materials for today's event which are available on our website at investors.kyndryl.com. With me here are Kyndryl's Chairman and Chief Executive Officer, Martin Schroeter; and Kyndryl's Chief Financial Officer, David Wyshner. Following our prepared remarks, we'll hold a Q&A session. I'd now like to turn the call over to Martin. Martin?
Martin Schroeter: Thank you, Lori, and thanks to each of you for joining us. On today's call, I'll update you on our continued progress and execution to drive our growth strategy. David will then review our recent financial results and our increased fiscal 2025 earnings outlook. We delivered another strong quarter and are off to a fast start to fiscal 2025. Signings were up 14% in the quarter in constant currency, and they're up 7% over the last 12 months and the projected pretax margin on these signings is in the high single digits. In the first quarter, pretax earnings were up significantly year-over-year, and we remain on track to deliver significant cash flow this year. Our performance was once again powered by strong growth in Kyndryl Consult and hyperscaler-related revenue as well as our ability to drive efficiency through automation and deliver innovation through Kyndryl Bridge, our AI-powered open integration platform. As we progress through the fiscal year, we'll continue to execute our growth strategy, drive substantial financial progress and focus on returning to the top line growth in the fourth quarter. There's a reason we're winning, why we're succeeding at such a rapid pace. Our expertise in both running and transforming IT estates is differentiating us in the markets we serve and uniquely positions us at the center of the secular trends that are shaping the evolution of IT. These trends, the adoption of artificial intelligence, cloud migration and management, increasingly hybrid environments, technology, skill shortages and cybersecurity are driving demand for our services, fueling our growth and further cementing our trusted relationships with our customers. For example, we're working with travel transportation and other customers to apply new AI and Generative AI technologies to drive business outcomes through our data architecture capabilities. With Kyndryl's Bridge, we're helping health care, manufacturing and other customers intelligently prioritize infrastructure needs and address previously hidden risks. Through our hyperscaler alliances and mainframe modernization skills, we're helping financial services, communications and other customers migrate, manage and optimize their hybrid IT estates across multiple cloud platforms ensuring the right workload is on the right platform. And through our global network of security operations hubs and end-to-end security services, we're helping customers in the media, public and other sectors protect, detect and address cyber threats. As a result, we're seeing growing demand for Kyndryl Consult services, all powered by our unique and impactful combination of run and transform capabilities. In fact, I want to highlight the importance of Kyndryl Consult. Our advisory services have been consistently growing in the double digits and accounted for 17% of our revenue in the quarter. We recognize that the strength we're delivering in Kyndryl Consult stands out in the current environment, and we believe the reasons for our exceptionalism are enduring. Our global team of consultants, data architects and engineers have deep domain knowledge on the mission-critical systems underpinning our customers' operations. This expertise is built on decades of experience with some of the world's most complex technology environments. Pairing our central consult skills and expertise with the IP and data in Kyndryl Bridge, our consult teams engage with customers to share actionable insights that can produce meaningful business outcomes. We're helping customers understand how to optimize their hybrid IT systems, how to measure and address their tech debt, how to structure their data so they can embrace AI and Gen AI, how to enhance security and resiliency, how to manage regulatory change and how to modernize business processes and related application infrastructures to streamline operations and drive productivity gains. So as our customer strategies and IT evolve, we're in the IT trenches with them, delivering capabilities they need based on our end-to-end understanding of their technology estate. And now doing so with the objectivity and broad alliances that come as a market-leading independent company. Customers want to engage with our technology consultants because of the role Kyndryl plays in their environment. The mission-critical nature of what we do and the deep technology expertise and industry knowledge Kyndryl Consult can bring to bear. We're also seeing increased demand for our services as a result of greater cyber regulation, especially in the EU. For all these reasons, Kyndryl Consult is a $2.5 billion revenue stream for us with a significant runway for growth. Revenue stream is valuable, both because of the margins directly associated with it and because of the ongoing managed services work that accompanies so many IT modernization assignments. Kyndryl Consult will continue to grow as we further expand our relationships with our alliance partners like Microsoft and Google and AWS, and most recently, SAP. Last week, we announced that we're now a RISE with SAP delivery partner, which will unlock new consult opportunities across our practices. And more generally, Kyndryl Consult, like our hyperscaler alliances underscores that where we focus on growth we deliver. Another key driver of our success is Kyndryl Bridge, the industry-leading operating platform we introduced in 2022 built on our IP and experience managing complex, large-scale hybrid mission-critical technology estates. Customers are faced with complexity everywhere, technical, organizational and operational and they must work in new ways to gain observability and data insights across their entire IT environment. With Kyndryl Bridge, we give our customers unprecedented observability across their full IT estate regardless of how complex it might be. This is a powerful value proposition that allows us not only to fortify how we run our customers' IT environments, but also to proactively identify ways in which we can transform their infrastructure to deliver the digital business outcomes they need. Since we launched Kyndryl Bridge, we've expanded our capabilities to include services such as delivering AI-infused operational insights, security operations as a platform, application modernization and regulatory compliance. With Bridge, we're delivering more than 110 million automations per month, ranging from security patches to version upgrades to configuration changes to best practice implementations. This drives speed, reliability and productivity of IT operations and powers business outcomes for our customers. To date, by avoiding major incidents and reducing planned maintenance costs, we provided customers with productivity benefits totaling nearly $3 billion a year, with more to come. For example, by using Kyndryl Bridge, a leading automotive manufacturer in Japan has seen a reduced number of incidents, faster recovery time and lower labor costs as it shifts its way of working to more proactive data-driven operations. Separately, by implementing Kyndryl Bridge for a global advertising firm, we significantly increased our customers' productivity and enhanced their creative team's IT experience. Through automated remediation, we also reduced their disruptions by more than 30% and have cut the occurrence of more severe incidents in half. And 13 days ago, when 1 vendor cybersecurity update shutdown servers around the world, Kyndryl Bridge allowed us to deliver accelerated recovery to hundreds of impacted customers. We rapidly engage thousands of Kyndryl technical experts around the world to manage the recovery end-to-end for our customers. And with our real-time observability into which applications and servers were affected worldwide, our experts were able to act immediately and recover systems according to our customers' priorities. And with Kyndryl Bridge and our knowledge of our customers' tech infrastructures, we were able to address most of the 45,000 enterprise servers that were impacted in every mission-critical application within 24 hours of the outage. On a more routine level, Kyndryl Bridge is a natural source of Kyndryl Consult opportunities for us. Bridge differentiates us by providing data-driven insights into customers' IT environments. For example, Bridge and Consult come together in our discussions with CIOs and CTOs on AI readiness, data architecture, security and resiliency. And with Bridge as a single source of truth we are uniquely positioned to discuss how to architect data so they could be responsibly exposed to AI platforms, how to maintain resiliency features and how to ensure data remains secure. Kyndryl Bridge is therefore the foundation for our recently announced partnership with NVIDIA. Our customers want us to have NVIDIA's tools accessible through Kyndryl Bridge to help them accelerate their adoption of AI and meet growing regulatory requirements. So we're excited about the opportunities ahead as we combine our expertise with Kyndryl Bridge insights and Kyndryl Consult outcomes. The investments we've made in capabilities and innovation directly aligned with our customers' top IT priorities and make us an ever more essential services provider to them. And they're driving growth with apps, data and AI, hyperscaler and security and resiliency signings, all of which have grown double digits over the past year. As we've highlighted before, this fiscal year, half of our revenue is coming from post-spin signings that have higher margins. And in fiscal 2026, it will be roughly 2/3. This inflection point when our P&L is largely determined by our post-spin signings will dramatically strengthen our earnings and growth profile. Our updated forecast for fiscal 2025 is for adjusted pretax income of at least $460 million reflecting a year-over-year increase of at least $295 million. As David will explain in more detail, the margins at which we're signing contracts and the other actions we're taking to grow our profitability have us on a path to deliver high single-digit adjusted pretax margins by fiscal 2027 and yes, the math associated with that is ultimately a $1 billion or more of adjusted pretax income with strong conversion of our earnings into cash flow. And importantly, fiscal 2025 is the year that we're pivoting to growth. As we approach the second half of this fiscal year, our purposeful efforts to shed low to no margin components of revenue will be largely behind us. As I mentioned, we expect to deliver strong growth in Consult. We're also on track to generate nearly $1 billion in hyperscale related revenue, and we're seeing more and more opportunities through Kyndryl Bridge to increase our share of wallet with existing customers. There is a growing demand for cloud migration, cloud management and optimization, security and resiliency and data and AI services. And ultimately, we expect to gain overall market share as more enterprises look to Kyndryl for their mission-critical IT needs. We're not only helping organizations to run their infrastructure in their business. We're also helping our customers transform building capabilities on new platforms, allowing them to leverage existing and new technology to drive business outcomes and differentiating Kyndryl in the process. With Kyndryl Bridge, Consult and our practices, we have executed powerfully throughout our business. We're delivering sophisticated, optimized multi-vendor solutions to customers to help them address critical needs and major opportunities. We're delivering managed services more efficiently than ever as a result, as we said, we're showing up differently for our customers and seizing opportunities that are unique to Kyndryl. In light of all these opportunities, we're planning to host our first post-spin Investor Day in New York on November 21. This will be an in-person and live webcast event, so please save the date and stay tuned for more details. Now with that, I'll hand over to David to take you through our results and our outlook.
David Wyshner: Thanks, Martin, and hello, everyone. Today, I'd like to discuss our first quarter results, our continued progress on our 3A's initiatives, the solid margins at which we're signing customer contracts and our increased outlook for fiscal year 2025. The punch line is that we're off to a strong start. Our first quarter results reflect strong operational execution and continued progress on our key initiatives. In the quarter, revenue totaled $3.7 billion, an 8% decline in constant currency. The year-over-year decline was anticipated and primarily driven by our intentional exit from negative no and low margin revenue streams within ongoing customer relationships, not by macro factors. It's also sequentially 1 point stronger than the year-over-year decline we reported last quarter and about 1 point better than we had expected. Currency headwinds impacted our reported revenue by $100 million year-over-year. As Martin highlighted, we continued to gain momentum in higher-margin advisory services. Kyndryl Consult revenues grew 14% year-over-year in constant currency, which underscores how we're growing our share in this higher value-add space. Kyndryl Consult signings grew even faster, up 49% in constant currency. Total signings grew 14% year-over-year in constant currency in Q1, our third consecutive quarter of signings growth, which were strongest in our core enterprise apps data and AI in security and resiliency practices. Our first quarter adjusted EBITDA was $556 million and our adjusted EBITDA margin increased by 30 basis points year-over-year to 14.9%. Adjusted pretax income grew 96% to $92 million. Our financial progress continues to reflect our strategic achievements, leveraging technology alliances, stepping away from empty calorie revenues, fixing focus accounts, growing the consult portion of our business, driving efficiency throughout our operations and positioning Kyndryl to meet our customers' future IT needs. Our first quarter results also include a number of puts and takes, and I want to make sure our operational progress is clear. Our $92 million of adjusted pretax income reflects the workforce rebalancing charges we incurred, the increase in IBM software cost that was structured into our spin-off and currency headwinds. Mitigating these were a vendor credit related to a focused account and a benefit from the change in the useful life of our equipment that we discussed on our last earnings call. Beyond these 5 items that in aggregate offset each other, our underlying operations delivered a year-over-year increase of more than $40 million in adjusted pretax income, primarily reflecting our execution and progress on our 3A's initiatives. The 3A's have helped us strategically transform our business. They've galvanized our people around initiatives that are game changers for us and for our customers, and they've delivered huge financial benefits. Through our alliances, we generated $210 million in hyperscaler related revenue in the first quarter. This puts us on track to deliver nearly $1 billion of hyperscaler related revenue this year, double our fiscal 2024 total. Through our advanced delivery initiative powered by Kyndryl Bridge, we continue to drive automation throughout our delivery operations, incorporate more technology into our offerings, reduce our costs and increase our already strong service levels. It's a win-win for Kyndryl and our customers. To date, we've been able to free up more than 10,500 delivery professionals to address new revenue opportunities and backfill attrition. This is worth roughly a cumulative $650 million a year to us representing a $75 million increase in our annual run rate this past quarter. Our accounts initiative continues to remediate elements of contracts we inherited with substandard margins. In the first quarter, we increased a cumulative annualized profit from our focused accounts by $125 million to $725 million. As we pivot to growth this year and the 3A's become a regular part of our operating model, they remain an important source of margin expansion and value creation for us. So as encouraged as I am by the earnings growth we've delivered, I'm even more enthusiastic about how we continue to position Kyndryl for future revenue, margin and profit growth. The June quarter was a continuation of us signing business with healthy margins. Throughout fiscal 2024 and now into the early part of fiscal 2025, we signed contracts with projected gross margins in the mid-20s and projected pretax margins in the very high single digits. Therefore, as our business mix increasingly shifts towards more post-spin contracts, you'll see significant margin expansion in our reported results. We've again included a gross profit book-to-bill chart that accentuates how we've been creating and capturing value in our business. With an average projected gross margin of 26% on our $13 billion of signings over the last 12 months, we've added over $3 billion of projected gross profit to our backlog. Over the same period of time, we've reported gross profit of $2.9 billion. This means we've been adding more gross profit to our backlog than our contracted book of business has been producing in our P&L. Having a gross profit book-to-bill ratio above 1 at 1.1 is a measure of how we're growing what matters most, the expected future profit from committed contracts. And we've been doing this consistently over the last 2-plus years. Turning to our cash flow and balance sheet. As expected, our first quarter was a seasonal user of cash due to annual software and incentive payments and our adjusted free cash flow was negative $116 million in the quarter. Our gross capital expenditures were $122 million, and we received $24 million of proceeds from asset dispositions. We've provided a bridge from our adjusted pretax income to our free cash flow as well as a bridge from our adjusted EBITDA to our free cash flow in the appendix. Importantly, our use of cash in the first quarter doesn't change our expectation of generating roughly $300 million of positive adjusted free cash flow this year. Our financial position remains strong. Our cash balance at June 30 was $1.3 billion. Our cash, combined with available debt capacity under committed borrowing facilities gave us nearly $4.5 billion of liquidity at quarter end. Our debt maturities are well laddered from late 2026 to 2041. We had no borrowings outstanding under our revolving credit facility, and our net debt at quarter end was $2 billion. As a result, our net leverage sits well within our target range. We are rated investment grade by Moody's, Fitch and S&P. On capital allocation, our top priorities continue to be to maintain strong liquidity, remain investment grade and reinvest in our business. As our earnings increase, they'll drive meaningful free cash flow growth. As a result, over time, we'll be in a position to consider regularly returning capital to shareholders, all while remaining investment grade. Our target has been to keep net leverage below 1x adjusted EBITDA, and we ended the quarter at 0.86x. In terms of M&A, we do not need acquisitions to execute our growth strategy so we will continue to be very selective, focusing on small tuck-in acquisitions like Skytap that complement our existing expertise and opportunities. As we've said previously, our core financial goals are to continue to expand our margins, grow our earnings, inflect our revenues back to growth as the year progresses and generate free cash flow. Our outlook for fiscal 2025 continues to be for revenue to decline 2% to 4% in constant currency. This implies revenues of $15.2 billion to $15.5 billion. We still have a quarter to go until we lap when our most significant actions to step away from low to no margin revenues took effect. So we expect our year-over-year revenue declines will be lower in the back half of the year and as we return to revenue growth in the fourth quarter. We've increased our outlook for adjusted EBITDA margin and adjusted pretax income to reflect the strong performance we delivered in Q1. Our outlook for adjusted EBITDA margin increases to at least 16.3%, and our outlook for adjusted pretax income increases to at least $460 million. Looking at the second quarter, in particular, our year-over-year constant currency revenue decline will be similar to Q1 and our adjusted pretax income should be slightly higher than the $25 million we reported in last year's second quarter. Included in our pretax guidance for Q2 is approximately $40 million of workforce rebalancing charges. On the topic of cash flow for the year as a whole, we project $700 million of net capital expenditures, a similar amount of depreciation expense and $150 million in cash taxes. This translates to the roughly $300 million in adjusted free cash flow in fiscal 2025 that I mentioned earlier. Over the medium term, we remain committed to delivering significant margin expansion in generating free cash flow growth. We have a solid game plan to drive our strategic progress and this game plan starts with the steps we've already taken to expand our technology alliances, manage our costs and earn a return on all of our revenues. To wrap up, our business model centers around providing mission-critical services to large complex organizations that rely on our technology experts and insights to operate and advance their businesses. Our leading market position in IT infrastructure services and the mission-critical nature of what we do distinguish us from other providers of tech services. Our service levels and customer satisfaction scores make it clear that we serve our customers extremely well. And our fiscal first quarter results demonstrate continued operational execution that's putting us on pace to achieve our fiscal year 2025 targets. With that, Martin and I would be pleased to take your questions.
A - Lori Chaitman: Thank you Martin, are you ready for your first question?
Martin Schroeter: You bet.
Operator: [Operator Instructions] Our first question comes from the line of Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang: Thank you. Good morning. Good results here. Just on the signings side. I wanted to ask on the trend of -- or if there's any interesting observations on mix of renewal versus new work or even new logos. I know there's good progress in building quality gross profit, but just curious if the composition is changing at all? And are there any signs of delays in some of the backlog converting?
Martin Schroeter: Thanks, Tien-Tsin and thanks for the nice comments. So a few things in terms of composition. As you saw now a very consistent solid growth rate in Kyndryl Consult. So the signings reflect us mixing more toward our advisory side, the run side of our business, the management run is still obviously substantial in the bulk of our business, but again, we're seeing really good demand from -- on the Consult side of our business. And this is now the third quarter in a row of total signings. So as we look at getting back to growth in fourth quarter -- revenue growth in fourth quarter, we feel increasingly confident about the trajectory of our overall signings profile as well. Now as you know, and as we've said before, as we work our way through our focus accounts, there are a number of elements that reduce, if you will, the overall signings and scope that we take out but at the same time, we are growing scope in the labor elements and the elements that are important to our business model. So -- so the scope expansion that we see doing more work within our clients, even though some of the resell and low-margin content comes out, is still giving us, it suggests that the value we're bringing and the value propositions we're bringing are quite powerful. And then finally, again, as I mentioned earlier, we've had 3 good quarters of overall growth even stronger in Consult. But as we sit here, we just had a great July. So I think it's likely we're going to have a fourth quarter coming up of good growth in total signings as well.
Tien-Tsin Huang: Okay. Great to hear July comment. Just my follow-up, just on the -- I heard David, you mentioned you don't need to do deals to hit your targets, you'll be focused on tuck-in acquisitions, but I have to ask your appetite here to do larger acquisitions, given where you are in the transformation of the 3A's, even if it's opportunistic, any thoughts there would be appreciated.
Martin Schroeter: Well, David's here, but I'm going to jump in as well. And certainly, David made some comments in his prepared remarks around that we don't need to do. We don't need acquisitions. Look, the whole business, as we've talked about for a number of years is focused on delivering the financial performance that we laid out 2.5 years ago as I mentioned, when you do the math in fiscal '27, that's $1 billion of adjusted PTI. We put on the table this year another big step toward that profit. And that's what this whole business is working on. We are focused on delivering the return to revenue growth in the fourth quarter. We're focused on delivering nearly a $300 million improvement in adjusted PTI. This year, again, on our way to $1 billion in total. As we've said before, we are focused on our balance sheet in the form of making sure we maintain investment grade and make sure we have the right liquidity to support the business. And I think our words on the topic match kind of the actions. And what I mean by that is when you look at what we actually have done, we've now -- we bought Skytap. Skytap is a really good, I think, model for how we think about small tuck-in acquisitions that support what we see our customers needing. In the case of Skytap, we have a great partner with whom we go to market. It's an area where we have good brand permission. So -- and by the way, it's completely consistent with us achieving all of the financial objectives that we set out already, again, 2.5 years ago on our way to fiscal '27. So that's what Kyndryl is working on. I mean that's kind of how I think about it. Anything, David, because he did ask you, by the way. That was just my preface for you.
David Wyshner: Yes. The comments I made, we made about not needing any acquisition or exactly what we meant.
Lori Chaitman: Next question, please.
Operator: Our next question comes from the line of Ian Zaffino with Oppenheimer & Co.
Ian Zaffino: Just kind of wanted to get your sense of growing confidence in the margins? What is basically giving you confidence in that? And maybe just kind of the components whether how much is from advanced delivery, all the other initiatives you can maybe help us understand.
Martin Schroeter: Yes, sure. Thank you, and thanks for joining the call this more. I'll start, and then, obviously, I'll ask David to make some comments as well. Look, the confidence that we get in our margin profile is really probably just best displayed in the charts we shared during our prepared remarks, and we've shared this chart very consistently. And you can see since spin, that we have consistently delivered margins that will put us into that high single-digit pretax margin range as more and more of our P&L is determined by our post-spin signings versus the signings that we were spun out with. So between what we've put in the backlog every quarter since spin, which is consistent with high single digit, our ability to -- and we see those coming through the P&L, obviously, now. And as we work our way through this year, we're 50-50 between inherited backlog versus backlog we've created, which is a sort of a tipping point for our overall P&L. And next year, it will be 2/3 roughly that our P&L is determined by post-spin signing. So with the performance of what's going in the backlog and as David spent a little bit of time in his prepared remarks, the gross profit dollar book-to-bill, not only is the margin profile consistent, but it's in gross mode. The gross profit dollar book-to-bill is greater than 1. And -- and now we're getting back to, as I mentioned earlier, 3 quarters of signings growth with likely a fourth quarter, we feel pretty good about the next quarter as well. So we're seeing not only profit book-to-bill growth, we're seeing consistent value capture in what's going in the backlog and now we're getting back to revenue growth. So we -- the confidence, I think, comes from the data. David, do you want to...
David Wyshner: I completely agree. And it's the data and the execution that we've had over the last few years since we became an independent company. You're seeing the growth in Consult signings and Consult revenues is part of it and the growth in hyperscaler related revenue is part of it as well. And as I mentioned on the call, those are great examples of how we're able to grow and really succeed in the areas that we focus on for growth. Martin mentioned the signings growth that we've had now for quarters, a strong July that we had. That's another example. -- the execution on our 3A's consistently over the last couple of years and the tremendous impact that 3A's are having are also examples of what gives us confidence going forward. And then the last one I'd mention on that is what we referred to as our did versus bid results, how our contracts perform relative to where we price them and that has tended to be strong and consistently strong for us. So the fact that we're signing business with high projected single-digit margins gives us a lot of confidence that we'll be able to deliver those sorts of margins from those contracts.
Ian Zaffino: Okay. Great. And maybe just a little bit of a follow-up here on kind of in the same vein. I think you -- I think I heard a $1 billion pretax income number. Is that new? I know you've kind of hinted and we kind of want the numbers, but we're getting quite that to $1 billion. And so I'm trying to -- is this new? Is there more confidence in that? And how do we think about that?
Martin Schroeter: Yes. So one, it's not new. When we talked about the 3A's already 2.5 years ago, we laid out path to get there. We were talking about exactly this data. And we've been consistently -- we've been consistently sort of reaffirming, if you will, that the data supports that trajectory and the time frames we originally laid out. So certainly not new -- and as -- again, as we trundle through quarter after quarter, and we keep delivering and the team keeps executing on the 3A's, and we see the momentum we're capturing and the value we're capturing in Kyndryl Consult. And then we add to that some of the newer things. So as you saw, we're in the early stages. We created what I think is going to be quite a meaningful partnership with NVIDIA. You just saw us do something with SAP and their RISE platform, which is going to represent another big opportunity for us. So -- so all of the data continues to support what we laid out 2.5 years ago and what we've continued to talk about, which was in that -- what we said at the time, medium term, which is now only a couple of years away, fiscal '27 in the medium term, this business, very stable business, but it will get back to good rates of growth, and then we'll deliver $1 billion of adjusted PTI.
Ian Zaffino: Okay. Great. Yes, because the Street is just not there yet. So glad to hear that you're looking for something better than the Street. So I'll let me as jump on.
Operator: Our next question comes from David Togut with Evercore ISI.
David Togut: Martin and David. Martin, could you speak to the kind of detailed underlying drivers of the 49% constant currency growth and Kyndryl Consult bookings in Q1, sort of underlying drivers and sustainability. And then I'll ask my follow-up upfront of David, which is the signaling of capital returns over time. Do you need to get to the $1 billion in pretax income in FY '27 to start returning capital? Or could that happen before then?
Martin Schroeter: I'll go -- I think he asked me first, David. So I'm going to go first, if that's okay. Look, I think the Kyndryl Consult performance is -- look, we see what's going on and what others are announcing. So it is unique, I think, to us. But there's a reason that we're winning. And I think it's based in -- it's based in our expertise in what we would call run and transform, which is what customers want. Customers need, they know they need to transform their IT estates. But they also know because of the nature of what we do, it has to happen while they are running. And so we are uniquely positioned with the skills and capabilities, not only that we have in our deep insights, but we've made a lot of investments in capabilities and skills to move our customers -- to be able to move our customers into the future. And then you add to that the investments we've made in innovation like Kyndryl Bridge -- and by the way, since we're the largest, we have more data about how infrastructures work and how do you optimize them. So -- so all of that comes together in the form of Kyndryl Consult and Kyndryl Consult is benefiting from our customers deep insights that we're providing. Kyndryl Consult is benefiting from our deep insights into how their how their systems are working. And so when we look at the nature of the work we do, it's probably -- maybe it's best to talk about what it is and what it isn't. And maybe that's the best way to understand why this exceptionalism that we see will continue. First, everything we do within our value props has a strong business case tied to it. Those business cases sometimes are to help customers become AI-ready, sometimes they're to help customers respond to a new regime in a new regulatory regime like DORA in Europe and around resilience. So each of these has a strong business case. So they're not science experiments. Companies have to do these things if they're going to be competitive or if they're going to respond to either competitive opportunities or, as I said, a new regulatory team. Secondly, these are high value to these companies, which means they're also high value to us. This is not staff augmentation that you can respond with based on a different macro environment. So -- and each of them is in support of our customers' strategy. It has a long-term element. So while the business case is good and the returns are good and they're suitable in the macro environment that our customers sit in, they're high value and they support their strategy. And I think that's not something that's going to change the role we play and the momentum we have says to us that we've made tremendous progress. And since we were spun out in mixing toward advisory, I think there's still a lot more to go there. So I think the growth continues for -- we got a good growth driver here. But with that, because I think that maybe feeds then into David's answer to your question because Kyndryl Consult is 1 of the 2 growth vectors that we put on the table already 2 years ago, the other 1 obviously being the alliances activity, but David turn it over to you.
David Wyshner: Yes. And thanks, David, very much for the question on capital returns. It's a very important topic for us. And I think we've been really consistent in saying that over time, our leadership position in IT infrastructure services, with the benefits that we're generating from the 3A's really should allow us to expand our margins and then ultimately be in a position to consider regularly returning capital to shareholders, all while remaining investment grade, which is really important to us. We do not need to be at a -- in my opinion, we don't need to be at $1 billion of pretax income in order to be able to return capital to shareholders but nothing will come of nothing. And I think the key metric that will determine our ability to return capital to shareholders is really is our adjusted pretax income. And to me, it needs to be higher than 1% of revenue, which is where it was last year, where it is on an LTM basis. That's what really needs to move up in order for us to be generating the sustainable free cash flow and earnings levels and margin that's supportive of providing capital returns.
Lori Chaitman: Operator, can we move to the next question, please?
Operator: Yes, we can. Our next question comes from Divya Goyal with Scotiabank.
Divya Goyal: Thank you, everyone. And good to see the ongoing progress on the company's growth here. I wanted to ask actually a big picture question on the broader macro. So as the interest rates potentially start to come down across North America, Martin, could you help us understand how would Kyndryl broadly benefit from that improvement from a revenue growth standpoint?
Martin Schroeter: Sure. Thanks, Divya, and thanks for the nice comments. Two things come to mind, and I'll talk about the one that's obviously important to our financial picture. And then I'll talk about customers. I do think customers will react and we will benefit as they start to reposition themselves for a lower interest rate environment. First and foremost, with the yen, I'll go back to the yen so high, our second biggest country is Japan. We are along the yen forever basically because it's a very profitable area for us. So having the yen come off its lows and start to make its way back is obviously a big benefit to us in our financial model. Now on the customer side, look, when you think about the role we play in our customers' environments and banking is a big element, financial services in total is our biggest industry, but industrials, telecoms, airline travel, all of these customers are investing and considering their focus as they deal with the macro. And right now, obviously, we play a big role in helping them optimize and helping them save money. But at the same time, we're well positioned to help them to start ramp up their investments again when they're ready when they see a macro environment that is suitable -- and that means for us that they're going to want to start to work on the data architectures they need in order to be ready to use Generative AI as an example. That means they're going to ramp up their investments in order to improve the resiliency that may be a new regulatory regime requires. So it means for us additional opportunity because, again, in an environment like this, we can help them save money, but it also will allow us then to capture their reinvestment as they get ready for -- as they get their businesses ready for the future. And all of that has to happen on a transformed and modernized and contemporary infrastructure. So that's why we tend to lead all of these things. And I think that's part of what you see in our Kyndryl Consult performance to date is we sit at the heart of what they need to get done, what our customers need to invest in, in order to prepare their businesses for whatever future is there.
Divya Goyal: That's helpful, Martin. So just on the same theme, actually, broadly, right now, there is that discussion going on with respect to AI, GenAI implementations, not being at the same pace as anticipated by the market. That said, to your point, enterprises actually are working towards getting the infrastructure ready for AI implementation from a cybersecurity standpoint. So could you actually elaborate on this last point that you made and talk a little bit more about what is Kyndryl as an infrastructure services management company actually seeing from enterprises currently on the AI front?
Martin Schroeter: Yes, absolutely. And again, this is a place we play a very strong role with our customers. So to oversimplify this, there is right now a pretty substantial chasm in a large enterprise between the line leader -- the business line leader who wants to use Generative AI to help her run her business and the IT organization that needs to ensure, particularly if it's a regulated entity that needs to ensure it understands the security implications, the data management implications and all the other things that have to happen. So we help our customers bridge that chasm. Through Consult, We help our customers bridge that chasm through education. And that's what we're seeing today in our customer base. And to the extent that the line leadership in a company and the IT shop in the company start to come together, you will see much more rapid progress in what customers talk about with regard to their use of GenAI. But again, all of that has to happen first. The CIO needs to be sure that whatever large language model they're using and wherever the data is coming from, as an example, those servers have all the patches they need. They need to make sure that they can answer the question for a regulator who can see your data right now. And so that chasm needs to get bridged. We see it getting bridge, and we're helping our customers work their way through that. Right now, it's heavily focused on bringing the CIO and the CIO organization into a readiness phase. And then it will get deployed more rapidly. But we sit in the middle of that now, and we're seeing the benefit in helping our customers through that. Sorry, David is going to pile on.
David Wyshner: Yes. Certainly, a lot of the media attention over the last year has been on Generative AI, but old-fashioned AI is really important. And what we're seeing with Kyndryl Bridge is a tremendous amount of opportunity to create and add value through the use of AI and machine learning in particular. And the benefits that we're delivering, the automations associated with that, the insights that we're generating in Kyndryl Bridge again, using more, call it, regular AI rather in traditional AI rather than generative AI and large language models is really quite incredible. And so I think we're probably not the only ones doing that. We see customers getting value out of that in many ways as well. But I think we're a real leader in terms of the amount of value we're able to generate and deliver by applying Kyndryl Bridge and the AI-enabled elements of it to generate all these insights and to operate in a more optimized way.
Lori Chaitman: Great. Thank you. Operator, I think we have 1 last question.
Operator: Our last question comes from the line of Jamie Friedman with Susquehanna International Group.
Jamie Friedman: Martin, I was just wondering, I track the narrative since the separation 2.5 years ago. And it does seem like Consult is outperforming what you had set up at that time? I knew you knew there was a lot of white space. But the services space is not doing anything like what you're doing. I realize it's off a smaller base. So anyway, could you give us some and I know other people have asked you about this, but can you give us some use cases and why you think that your Consult position may be outperforming the wider industry?
Martin Schroeter: Sure. Thanks, Jamie, and thanks for the nice -- again, thanks for the nice comments and for joining. So look, I think when you -- and David touched on this briefly with Kyndryl Bridge, but when you think about the knowledge, the depth of knowledge that we have just the raw engineering that we have and the skills and the talent that we have that understand our customer systems better than anybody that was what we started with, right? And to that -- and by the way, this is the trusted group of engineers that run the world's most important, most critical systems. To that, we've invested quite heavily to take those skills and supplement them with much more industry standard skills. And so now you have not only the group of engineers who understand your systems, but now they are contemporary and relevant in a much broader industry context and add to that, that we've invested heavily in Kyndryl Bridge, which gives insights we're generating as we said in our prepared remarks, we're generating over 3 million insights per month to help our customers, which is saving them money. So you take the engineering and the trust we started with, you invest heavily in the people so that they have the most contemporary skills. You invest in joining the ecosystem that really matters to our customer base. You invest heavily in innovation so that you show up with new ideas and with insights that customers cannot get anywhere else. And it's not, I guess it's not a surprise to me -- and yes, we did talk about it 2.5 years ago, but it's not a surprise to me that we, Kyndryl sit now at the heart, at the nexus of the secular trends that our customers are either excited by because there are opportunities like AI, like innovation on clouds, but also they're trying to manage like skill shortages or new regulatory requirements or security challenges or the need for resiliency, et cetera, et cetera, et cetera. So I think it comes down to us for we started really well with the talent that our customers trust running the most important workloads. We added to that a substantial amount of investment in our people. We've added a substantial amount of investment in innovation. And we've joined the ecosystem that's relevant to our customers, and you put all that together, and that's why we sit again at the nexus of the secular trends that our customers are dealing with, everyone, everyone is trying to figure out how to transform digitally. And I think the other thing that we've noticed and customers are telling us is that there are really aren't any challenges they're facing that they can't solve now with technology, reaching new customers, reaching existing customers more efficiently, knowing more about your customers, running more efficiently, internally, optimizing your business, transforming what you see in technology into a new business model, all of that happens now with technology as a base. And that means that the infrastructure has to participate has to be a big part of that transformation journey.
David Wyshner: Yes. And leveraging our capabilities and as Martin said, investing in our capabilities in Consult has been a big part of our strategy. Like Martin said when -- and this is part of our strategy, when you got a job to do, you've got to do it well. You have to give the other fellow help. And for us, that really means investing in Consult and being in a position where we can -- where we can lead and win and compete very effectively in this space, and that's showing up in the, call it, 49% signings growth you saw this last quarter in the consistent double-digit growth we're delivering in Consult.
Lori Chaitman: Operator, we're going to have Martin say a couple of closing words, but I think that closes out our queue.
Operator: Perfect. I'm showing no further questions at this time. I would now like to turn it back to Martin for closing remarks.
Martin Schroeter: Yes. Thanks, operator, and thanks, everybody, for joining us again today. Hopefully, you can get a sense, and you can hear how enthusiastic we are about the strong start to the fiscal year. And look, I also want to add the -- and share the gratitude with the whole Kyndryl team for their hard work and their contributions and their efforts, including, by the way, the tremendous job that the Kyndryl team did in recovering our customers from the CrowdStrike incident. It was just a phenomenal, phenomenal display of engineering prowess and urgency in support of important customers. Look, we're in a tremendous position in our third year as an independent company. Our unique run and transform approach is absolutely resonating with and adding a lot of value to our customers because it supports their continuous innovation while maintaining their operational excellence. We, as a firm, are capitalizing on the many opportunities we have to drive profitable growth. You see that not only in the data, but you see that in the things that are going to affect the data in the future. As I mentioned earlier, recent enhanced partnership with SAP. SAP RISE is going to be a big part of how we bring value in the future and NVIDIA would be another one, all now announced, but not yet part of the data, but the data looks great. It looks great in progress so far. David and I, we're looking forward to getting together with the investors, with our analyst community at our upcoming investor conference, as we said on first Investor Day on November 21, and in the meantime, thank you again for joining us, and we'll talk to you again in the quarter. Thanks, everybody.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.